Operator: Good day, ladies and gentlemen and welcome to the Bank of Hawaii Fourth Quarter 2016 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Ms. Cindy Wyrick. Ma’am, you may begin.
Cindy Wyrick: Thank you, Kayleigh. Good morning and good afternoon, everyone. Thank you for joining us today as we review our results for 2016. Before we get started, let me remind you that today’s conference call will contain some forward-looking statements. And while we believe our assumptions are reasonable, there are a variety of reasons that the actual results may differ materially from those projected. And now I would like to turn the call over to Peter Ho.
Peter Ho: Thanks, Cindy. Good morning, everyone and thanks for joining us today. In addition to Cindy and myself we also have here with us in Honolulu this morning Kent Lucien, our Vice Chairman and Chief Financial Officer; Mary Sellers, our Vice Chairman and Chief Risk Officer. And joining us for the first time is Dean Shigemura, our Controller. I am pleased to announce that effective March 1, Kent will assume the role of Chief Strategy Officer for our organization and Dean will move from Controller to Chief Financial Officer. Brent Flygar, who currently leads our public reporting team with the Controller will become our Controller and Principal Accounting Officer. Kent had a great run for us. We are just chatting about that before the call, 9 years as CFO, done a terrific job for us and we are really excited to have him in his new strategy role, which there are many, many things to focus in on as you all know. Dean has been with us for 17 years now and has been both our Treasurer in his term with us as well as Controller. So we are looking forward to having him on board. And Brent as Controller has been with us for 7 years having joined us from Ernst & Young. Now, let me turn over to the financials. 2016 was a very good year for us and we are very pleased with our financial results. Our loan balances grew to $8.9 billion at the end of the year, an increase of just over $1 billion or 13.6% in 2015. We also continue to attract quality deposits during the year. Total deposits reached a record $14.3 billion at the end of December, up a little over $1 billion as well or 8.1% from the previous year. Our balance sheet, liquidity and capital levels remain robust. And then the end of the year credit quality remains strong and stable. Our earnings per share of $4.23 in 2016 also represent a record level of earnings for us. Now, let me turn the call over to Kent who will expand on some of the financial details here.
Kent Lucien: Thank you, Peter and thank you for your comments. Net income for the fourth quarter was $43.5 million or $1.02 per share, which is essentially unchanged from the third quarter and up from $42.8 million or $0.99 per share in the fourth quarter last year. Our return on assets in the fourth quarter was 1.07%, the return on equity was 14.90% and our efficiency ratio was 58.33%. Our net interest margin in the fourth quarter was 2.83%, up 3 basis points from third quarter, down 2 basis points from the same quarter last year. Our net interest margin for the full year of 2016 was 2.83%, an increase from 2.81% in 2015 as strong loan growth during the year helped to offset the low interest rate environment. Premium amortization was $11.1 million in the fourth quarter, down from $11.4 million in the previous quarter and $11.6 million in the same quarter last year. The investment portfolio or investment differential was a negative 12 basis points this quarter. We purchased a total of 305 million of securities during the quarter which were primarily comprised of mortgage-backed securities. As Mary will discuss later, we recorded a credit provision of $3.25 million this quarter which slightly exceeded net charge-offs. Non-interest income totaled $46.5 million in the fourth quarter of 2016 compared to $48.1 million in the previous quarter and $44.8 million in the same quarter last year. The decrease compared with the previous quarter was largely due to a decline in income from our customer derivative transactions, benefits during the third quarter from bank loan life insurance and a small decline in loan fees and other service charges. The increase from the prior year was largely due to a strong mortgage banking result, which was $6.3 million in the fourth quarter of 2016 compared to $6.4 million in the previous quarter and $3.1 million in the same quarter last year. Non-interest expense totaled $89.6 million in the fourth quarter compared with $87.5 million in the previous quarter and $85.7 million in the same quarter last year. Non-interest expense during the fourth quarter of 2016 continued to reflect higher levels of incentive compensation due to strong business growth and expenses related to the rollout of our strategic initiatives. Non-interest expense in the fourth quarter of 2016 included $1.3 million in compensation due to the increase in the stock price during the quarter and a net gain of $1 million from the sale of branch real estate. Non-interest expense for the full year of 2016 was $350.6 million and included net gains of $3.7 million on the sale of real estate and severance expenses of $900,000. Non-interest expense last year was $348.1 million and included an impairment charge of $9.5 million, $3.3 million at severance, $1.6 million for the rollout of chip-enabled debit cards and net gains of $5.9 million on the disposition of real estate. Adjusted for these items, non-interest expense was up 4%, which was higher than our guidance primarily due to the fourth quarter increases in expenses related to share-based compensation. The effective tax rate for the fourth quarter of 2016 was 28.38% compared with 29.84% in the previous quarter and 28.23% in the same quarter last year. The effective tax rate for the full year of 2016 was 30.1% compared to 30.49% for the full year of 2015. As Peter mentioned, we continue to see good growth in loans and deposits. Our investment portfolio declined slightly to $6 billion. The average duration of the AFS portfolio was 2.6 years. The held-to-maturity duration was 3.56 years. And the duration for the entire portfolio was 3.22 years. Our shareholders’ equity was $1.16 billion at the end of the fourth quarter. We paid out $20.5 million or 47% of net income in dividends during the quarter and repurchased 134,000 shares of common stock for $10.4 million. At the end of the fourth quarter, our Tier 1 loan capital ratio was 13.24% and our Tier 1 leverage ratio was 7.21%. Finally, our Board declared a dividend of $0.50 per share for the first quarter of 2017, an increase of $0.02 per share. Now, I will turn the call over to Mary.
Mary Sellers: Thank you, Kent. Net charge-offs for the fourth quarter totaled $3 million, up $611,000 on a linked quarter basis and up $852,000 year-over-year. Full year 2016 net charge-offs totaled 3.4 or 4 basis points on an annualized basis. In the first quarter of 2016, we did realize a full recovery on a single commercial loan previously charged off in 2013. Adjusting for this nonrecurring recovery, net charge-offs would have totaled $10.2 million or 12 basis points. In 2015, net charge-offs totaled $6.8 million or 9 basis points on an annualized basis. At the end of the fourth quarter, non-performing assets totaled $19.8 million or 22 basis points, up $1.1 million from the third quarter and down $9 million year-over-year largely due to the resolution of the reference commercial credit. Residential mortgages accounted for $15.5 million, of the total at the year end 2016. Loans past due 90 days or more and still accruing interest totaled $7.1 million, up $1.4 million from the previous quarter and down $504,000 from the same period last year. Restructured loans not included in non-accrual loans or loans past due 90 days or more totaled $52.2 million, up $100,000 from the prior quarter and up $2.8 million year-over-year. Residential mortgage loans modified to assist customers accounted for $18.5 million of the total at the end of 2016. We recorded a provision of $3.25 million to the allowance for loan and leased losses in the fourth quarter. Accordingly, the allowance totaled $104.3 million at the end of the quarter, up $240,000 from the third quarter and up $1.4 million year-over-year. The ratio of the allowance to total loans and leases was 1.17% at the end of 2016, down 3 basis points for the linked quarter and down 14 basis points from the end of 2015. The decrease in the ratio is reflected by the company’s strong asset quality and the strength in the Hawaiian economy over this period as well as the growth in total loans outstanding. The total reserve for unfunded commitments was $6.6 million at year end, unchanged from the prior quarter and up $500,000 from the end of 2015. I will now turn the call back to Peter.
Peter Ho: Thanks Mary. The Hawaii economy remains healthy through 2016. Our visitor industry earnings continue to grow and our statewide seasonally adjusted unemployment rate went down to 2.9% in December compared to 4.7% nationally. Visitor arrivals for the first 11 months of 2016 increased 3% and visitor spending was up 4.1% compared to the same period in 2015. The base of construction remains strong in both the private and public sectors and home prices continue to increase throughout the year. The median sales price for the single-family home on Oahu, our primary market, increased 5% in 2016 and the median sales price for the condominium increased 8.3% compared to 2015. The volume of single-family home sales on Oahu during the year increased 6.5% and condominium sales increased 8.4%. Months of inventory decreased to 2.5 months for single-family homes and 2.6 months for condominiums and the median number of days on market were only 18 days for a single-family home or condominium. Thanks for joining us again this morning and we would be happy to field your questions at this time.
Operator: [Operator Instructions] Our first question comes from the line of Jeff Rulis with Davidson. Your line is open.
Jeff Rulis: Thanks. Good morning.
Peter Ho: Good morning.
Jeff Rulis: Peter, maybe a question on – kind of thoughts on budgeting for loan growth in ‘17, maybe you could provide some reasons for against ‘17 loan growth matching the ‘16 level if possible?
Peter Ho: Well, ‘16 was 13.6% for the year, which I think would be a pretty heavy number for us to attempt at in ‘17. The way that I would square that Jeff is on the positive side, we have had some market success. We feel good about that, I am not sure that is the reason to believe that we won’t be able to outperform at some level and the economy remains pretty darn strong. There really aren’t any factors at this point pointing to a softening or a downturn in the local economy. So I think that’s, if you will, the tailwind that we are looking at from a loan perspective and a deposits perspective, frankly, from that standpoint as well. The things that we are thinking about as potential headwinds are – we have got to be and love, this is just an absolute super cycle approaching mid-cycle. And as a result, we are going to very naturally begin to tighten in on underwriting and credit standards as just part of what we do as our organization. So obviously, that’s going to have some impact on us. And I think that there are likely some lending categories that probably reached their peak. So I will give you for instance construction lending, I think last quarter or this quarter actually peaked out at pushing $200 million and that’s been obviously accretive to our growth for a few years now. And likely as we move forward, just looking at where we are in the cycle that probably turns as a potential headwind to grow for us. So that’s how I see the lending space for probably the next couple of quarters here.
Jeff Rulis: That’s great. I appreciate the color there. Maybe on the other side then, on the pretty strong deposit growth to close the year and I guess in your market, are you having to increase rates at all to bring in funds or maybe just comments on the general market pricing that you are seeing, is there a pass-through on say, the last rate hike that you are seeing from the competitors?
Peter Ho: Yes. So obviously, we have seen a rise in longer rates here. You referenced the shorter end in the Fed’s actions there. So obviously, a fair amount of interest, I would say and chatter at the client level, but frankly I think that the rate environment has been reasonably muted out here. We are being extra careful and extra sensitive to understand what the market dynamics are as we potentially are stepping into a higher rate environment. But in terms of actual rate actions, things I would say have been reasonably muted, Jeff.
Jeff Rulis: Okay, I will step back. Thanks.
Peter Ho: Yes.
Operator: Thank you. Our next question comes from the line of Casey Haire with Jefferies. Your line is open.
Casey Haire: Thanks. Good morning guys.
Peter Ho: Hi Casey.
Casey Haire: I wanted to focus on mortgage banking elevated this quarter or flat this quarter rather, just some color, what was there in MSR write-up in there. And then sort of what is the forecast going forward with the long end of the curve up?
Peter Ho: Yes. Casey, let me – maybe I will talk a little bit about the business side and the market opportunity for us and then flip it to Kent and Dean to talk about the financial pieces to that. It was a great year for us. From a resi standpoint, our production was up 30.5% really led by a very, very strong effort in our purchase activity. So I feel really good about that because, frankly, 2015 was a good year for us as well. And so we are hoping to extend that out. We had very strong improvement, if you will, in our wholesale business to push some of that volume, so a great year in ‘16 and hoping for a similar outcome in ‘17.
Kent Lucien: Yes. We did have the $2.2 million write-up in our MSR, so that’s included in the mortgage banking income. So going into next year, I guess with the higher rates, we would expect some challenges there on the mortgage banking income. So we could expect some lower income there.
Casey Haire: Okay, great. And just what was the split on purchase refi in terms of volumes?
Peter Ho: Yes. Purchase was – it’s almost 50-50 actually, purchase from refi.
Casey Haire: Okay, great. And then just switching to credit, obviously not a lot of risk on the balance sheet here with only $20 million of non-performers in the $9 billion book, but just wondering, given the decent loan growth outlook and a conservative balance sheet culture, what is – I know you guys don’t manage to a number, but what is sort of the outlook on the LLR, have we hit a floor here at 1.17?
Mary Sellers: Well, I think as we continue to share that we take a look at that every quarter, it will depend in part on growth in our balance sheet, the asset class, the gross, what we are seeing in metrics around that and a little bit of the economic outlook at the time.
Casey Haire: Okay, great. And then just lastly on the tax rate came in a little late this quarter, what’s a good going forward rate to use?
Kent Lucien: We have been guiding 30% to 35%. We are looking at this year about 30% to 33%, so a little bit narrow range.
Casey Haire: Alright, great. Thank you. Congrats to Kent, Dean on the new roles.
Kent Lucien: Yes. Thank you.
Operator: Thank you. Our next question comes from the line of Jacquelynne Bohlen with KBW. Your line is open.
Jacquelynne Bohlen: Hi, good morning everyone, I was a little bit surprised to see – I know the premium end went down a little bit quarter-on-quarter, but I would have thought there might have been a little bit more of that just given the rate movements in the quarter, is this something that could potentially happen in 1Q?
Peter Ho: Yes. I think so, Jackie. There is a little bit of lag in the mortgage payoffs and interest rates really started to move up in the second half of the quarter. So I think you might see a little bit of a slowdown in payoffs and thus a reduced amortization as the year – as the first quarter progresses.
Jacquelynne Bohlen: Okay. And then you had mentioned the $305 million in security purchases, what was the timing and average rate on that?
Peter Ho: Well, it was throughout the year, the yield on what we purchased was 2% and runoff was 2.12%.
Jacquelynne Bohlen: Okay, so that $305 million, that wasn’t fourth quarter, that was the full year?
Kent Lucien: Fourth quarter.
Jacquelynne Bohlen: Fourth quarter, okay. And then just one quick housekeeping one, the gain on sale at branch, was that all captured in occupancy?
Peter Ho: Yes.
Jacquelynne Bohlen: Okay, great. Thanks. I will step back now.
Operator: Thank you. Our next question comes from the line of Brett Rabatin with Piper Jaffray. Your line is open.
Brett Rabatin: Hi, good morning everyone.
Kent Lucien: Hi, Brett.
Peter Ho: Good morning.
Brett Rabatin: Wanted to first ask about deposits, really strong core deposit growth mostly in commercial, can you talk about that and maybe any visibility into what’s driving that and flows as you see them happening this year?
Peter Ho: Well, the fourth quarter is generally seasonally a strong point for deposits and for commercial deposits in particular, but you are right, I mean when we looked at – when we look at average deposits in consumer and commercial, consumer was up 8% for the year, 8.1% and commercial coincidentally was up 8.1% as well, really reflecting growth in all three of the categories demand, time and savings, but really I guess headlined by demand. And so I think what we are seeing, Brett is just a very strong local economy certainly in the consumer space. And then on the commercial side, same comment but also I think impacted by just a lot of transactional activity happening in the real estate sector as a lot of real estate products are coming online. Unfortunately, we are the beneficiary of fair amount of closing accounts and things of that nature in that space.
Brett Rabatin: Okay. And then the other thing I was just curious about your thoughts on repurchases and given where the stock is, does that affect what you do this year?
Kent Lucien: Well, that’s still an important part of the strategy going forward. But having said that, remember the priority is to make sure we have enough capital to support the business. The business is growing. So we are going to need capital for that purpose. As I mentioned in the remarks, we increased the dividends, so dividends are important. And it’s really the residual that’s available to us for – on buybacks. So we are still intending to carry forward with buybacks, but it’s within the context of its priority.
Brett Rabatin: Okay, great. Thanks for the color.
Kent Lucien: Yes.
Operator: Thank you. And our next question comes from the line of Aaron Deer with Sandler O’Neill. Your line is open.
Aaron Deer: Hi, good morning guys.
Peter Ho: Hi, Aaron.
Aaron Deer: Peter, following up on your earlier comments with respect to construction, any other categories where you have specific expectations in terms of what we might expect as the year plays out and as you see some maturing in the local economy?
Peter Ho: As it relates to construction, Aaron?
Aaron Deer: More on other categories actually maybe in commercial and what we might see in commercial real estate and some of the other categories?
Peter Ho: Yes. Our CRE folks tell us they’ve got a pretty good-looking pipe looking forward into ‘17 which frankly was a bit of a surprise to me, but they are seeing that. The construction side is going to be interesting. I would have a year ago said that the high-rise, the luxury high-rise maturation of that cycle would really spell decline in the construction book. I think that maybe short-term, but there are also a lot of affordable transactions floating around the marketplace right now. And so as you know from prior conversation that there is fair amount of single-family housing to be built, with those projects are still a few years out. But I would say there maybe an opportunity for construction to blend in with more affordable projects as we move forward. So that’s something to think about. Now, those projects still have to get green-lighted and finance and the like, so there is still the question mark out there, but something to think about. On the C&I side, we were pretty fortunate in Q4. We have a few fundings frankly that we weren’t anticipating. And then we had just a very, very strong finish in our dealer business. So a fair amount of flooring activity flowed into the organization. I think as we look forward, we are probably not as constructive in our outlook in that space as we are in our CRE side.
Aaron Deer: Okay. And how about on the consumer side, any expectations there in appliance for any sort of promotions or anything you might be doing on that front?
Peter Ho: We are feeling really good about our resi book. A couple of years ago, we converted systems and that has resulted in a lot of efficiencies for us. That’s really what’s given rise to the opportunity to create purchase opportunities. As you know, those have reasonably short tickers attached to them. So frankly, we are hopeful that we can extend that piece in ‘17. Indirect and home equity have been, as you know very strong performers for us. I am not sure we would be able to continue that rate of growth, but I would expect those books to grow again in 2017.
Aaron Deer: Okay, that’s great. And then just a quick one for Kent or Dean, with the tax rate down this quarter, was that related to any sort of offset with solar again where you might have seen the kick up in the other expense line?
Kent Lucien: Yes. We do have a number of solar investments that contributed to the reduction in the rate. The expenses were relatively flat to the third quarter, though.
Aaron Deer: Okay. The expenses related to the solar were flat relative to 3Q.
Kent Lucien: Yes.
Aaron Deer: Okay, thank you. I will step back. Appreciate you taking my questions.
Kent Lucien: Okay, Jeff – Aaron, sorry.
Operator: Thank you. Our next question comes from the line of Ebrahim Poonawala with Bank of America. Your line is open.
Ebrahim Poonawala: Good morning, guys.
Kent Lucien: Good morning.
Ebrahim Poonawala: A question on expenses and I am sorry if I missed it. I guess as we look into ‘17, firstly, can you just talk about in terms of what we should expect on expense growth relative to the reported expenses for ‘16 and like any pressure points as they put into comp expenses, healthcare expenses going higher next year? And also, is there anything on 1Q seasonality that we should sort of think about as we think about comp expenses for 1Q?
Kent Lucien: Yes. So looking at 2017, actually looking back at 2016, we had about $3.7 million of real estate sales that helped reduce some of our expenses. So adjusting for that, we are looking at about a 2% to 3% increase over ‘16 and we do have in the first quarter a seasonal bump in expenses related to some payroll taxes and related to the incentive payouts.
Ebrahim Poonawala: Got it. And I was just wondering if Peter you had any color around like how competitive it is in terms of retaining talent or have you seen any sort of push higher in terms of comp expenses tied to revenue producers?
Peter Ho: Yes and yes. It’s a competitive market. I mean, just from a baseline standpoint, we are sub 3% on unemployment, which is the first time since 2007 that we have been in that space. So, it’s tough to hang on to people. It’s even tougher to hang on to really talented people and you are seeing that to certain extent here in our comp line. Fortunately, I think we have been able to more than make up for that on the revenue side and we have been pretty fortunate in being able to hang on to people that we need to hang on to.
Ebrahim Poonawala: Understood. And just a follow-up on your comments earlier in terms of capital, with the TCE, I think sub 7% at the end of the year? I recognize in terms of what you said around capital priorities, but could you remind us like where, what sort of the binding constrainment on capital? Like do you want the PCE to TA, tangible asset ratio to be north of 7% where you would feel comfortable buying back stock and how does valuation for the stock where it is today play a role in terms of how you think about buybacks versus a special dividend or something else?
Peter Ho: Yes. So our real constraint in the capital management area is on a Tier 1 leverage ratio. And so the minimum is 7% for us. And right now we are 7.2-plus percent, so we are well within our own floor on that topic. Yes. Value is, obviously always important. We are tactical when we need to be. But having said that, I mean we still have a plan and a program to continue to buyback stock.
Ebrahim Poonawala: Got it. So we should expect that you sort of move forward and other than what you need for organic growth and dividends, we should expect you to do some steady buybacks to 2017, is that correct?
Peter Ho: Yes. I think that’s a fair assessment.
Ebrahim Poonawala: Understood and congratulations Ken and Dean. Thank you.
Peter Ho: Thank you.
Operator: Thank you. Our next question comes from the line of John Moran with Macquarie. Your line is open.
John Moran: Hi. Thanks guys. I have got actually two sort of icky-tack follow-ups, one the MSR, if I heard you right, it was $2.2 million write-up this quarter, last quarter, I had that down as a $0.5 million write-up, is that correct?
Peter Ho: Yes.
John Moran: Okay. And then on the securities book, the duration, if I heard you right, is 3.22, did you have to have that handy from last quarter with the linked quarter…?
Mary Sellers: No, but I can get it to you, John.
John Moran: Okay, terrific. Thanks. And then just one kind of like bigger picture one, the dollar impacted tourism, if you are seeing anything in terms of the composition of who is kind of visiting the island, if that’s changing or the spend has changed, I mean obviously, you put the stats in the press release and things look really healthy, but any sort of forward look on that?
Peter Ho: Yes. You would think that would be the case. It hasn’t really played out as much. Total expenditure year-to-date are up 4.1%. U.S. West, U.S. East are coming at 6% and 4.5%. Japan surprisingly was up 1.9% and all others, some places like Australia and New Zealand, Taiwan, Korea are up just about 7%. So the dollar isn’t impacted in those markets. What is being impacted is Canada. Canada has been a problem child for us for a while now, down 10% year-to-date in spending. So obviously, I think some of that has to do with the dollar, but I think there are other factors are happening in that marketplace that are playing into that.
John Moran: Got it. Thanks very much.
Peter Ho: Yes.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Laurie Hunsicker with Compass Point. Your line is open.
Laurie Hunsicker: Yes. Hi, good morning. Peter, I wondered if you could just take us back to your comments around construction peaking and turning into a headwind for growth, what specifically is behind that?
Peter Ho: Well, the bulk of that portfolio is in higher end, high rise real estate transactions. And those, for the most part, are winding down. We have just a couple – we have one left. And so as that pays down, we will see a decline in that portfolio which has grown pretty significantly over the past couple of years for us. So that’s what I meant by the headwind.
Laurie Hunsicker: Okay. And obviously your construction to risk based capital is super, super low, thus, none of this was at all pressure from the regulators, it’s just simply just as you look at the market?
Peter Ho: No. I mean our real estate capital from a regulatory standpoint is in very good shape to begin with and our production [ph] in particular is awfully low.
Laurie Hunsicker: Okay, great. And then just to sort of tie into the question that Casey asked regarding your reserves to loans and I know you historically haven’t given guidance a year ago you were up at 1.30, now you are at 1.17 and your credit is very pristine and I guess to your comments that were potentially approaching the mid-cycle mark of where we stand in credit, I mean is there a floor in terms of how you go, we are not going to see you go below 1% or how do you think about that?
Mary Sellers: I don’t think we necessarily think of a floor. We really look at just what’s appropriate relative to the risk in our portfolio and our analysis stuff where we are at that point in time.
Laurie Hunsicker: Okay. And then switching gears, your year ago March quarter, you sold 100,000 shares of Visa, leaving you about 189,000, are we expecting to see a sale most likely in this current quarter coming up?
Kent Lucien: That is still the plan right now.
Laurie Hunsicker: Okay. And then does all of that potentially drop to the bottom line?
Kent Lucien: Yes.
Laurie Hunsicker: Okay. And then just one last question with your branch sale and obviously you own a chunk of your branches, how are you thinking about branch sales going forward, was this just a one-off or is this something that you are looking at on a bigger picture?
Kent Lucien: It’s pretty much a one-off. Even though we had a number of transactions through 2016, we are pretty much done with selling branch real estate. Now, that’s different in part from a wider strategy of reducing occupancy expense by reducing the square footage of leases and then that sort of thing. So there is opportunity to reduce occupancy expense going forward, but in particular selling real estate, there is not likely to be too many more of those.
Laurie Hunsicker: Okay, great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Ken Zerbe with Morgan Stanley. Your line is open.
Ken Zerbe: Great. Thanks. Just a really quick question on the $1.3 million stock related expense, is that something that all things equal next quarter, should expenses be say, $1.3 million lower is it doesn’t occur again or do you need the stock – I am sure I think like do you the need stock price to go down to reverse that, can you just walk us through the mechanics of when we might see another change? Thanks.
Kent Lucien: Yes. The way the calling works for it as we – for the restricted share units, we have the mark to market the units at the end of every quarter in addition to accrue additional units. So the write-up mainly had to do with the price change as opposed to the level of accrual of units. So subject to any price changes, we would expect a lower expense.
Ken Zerbe: Got it, because you don’t mark it up. So the stock stayed exactly unchanged over the next three months and the expense would just be the new units and the mark to market would be zero?
Kent Lucien: Correct.
Ken Zerbe: Okay. In the other region, we saw the big – the greater delta this quarter, just because of the stock price move?
Kent Lucien: Yes.
Ken Zerbe: That helps. Thank you.
Operator: Thank you. And we have a follow-up from the line of Brett Rabatin with Piper Jaffray. Your line is open.
Brett Rabatin: Hi, I just want to go back to Peter, some comments you made about auto and it sounds like you intend to continue to grow that portfolio somewhat over the next year, there has been some concern about auto, I imagine you have seen as much of it in Hawaii as some of the mainland, but can you just talk about any thoughts on auto delinquencies and it hasn’t really impacted your credit, but just any concern about growth of that portfolio and the credit related to it?
Peter Ho: And Brett, you are thinking on the indirect side or the dealer side?
Brett Rabatin: On the indirect side?
Peter Ho: On the indirect side, our experience has been pretty flat. And so really the way we think about that book is, it’s a good market for us. We have got – we have a smaller market share than some other competitors within the marketplace. We think that there is a market share opportunity there for us. So yes, credit wise, things have been reasonably flat. And as we look forward, we think that there is opportunity to potential market share again versus through just a growth of the market which is, I guess as you pointed out a flattening out.
Brett Rabatin: Okay, great. Thanks for the color.
Operator: Thank you. And we have a follow-up from the line of Casey Haire with Jefferies. Your line is open.
Casey Haire: Yes. Thanks guys. So just a little more color on the NIM, Kent, I heard you on the 12 basis point differential negative on the reinvestment. Just curious where was that maybe at the end of the quarter and where is that today, just some color there?
Kent Lucien: Well, just guessing because I don’t really know how it’s going to turn out, but it’s either lower or past the breakeven point as we speak. I guess I might, but things have moved up quite a bit. And the number I quoted was for the entire quarter which included the first half which has had a pretty low rate. So yes, I think we are probably a smaller negative or could be on the plus side as we speak.
Casey Haire: Okay, great. And on the loan side, loan yields actually held stable this quarter for the first time in a while. What is sort of the new money, the new yield on production today versus that P91 [ph]?
Kent Lucien: Yes, that’s a complicated answer just because of the mix. But directionally, it’s going to be a very similar answer to what we are talking about with regard to the investment portfolio. If we were at breakeven in the fourth quarter, odds are we are probably in the positive territory into the first quarter. Again, that depends on the mix. But I think by line item, it’s probably going to be a better comparison than what we saw in the fourth quarter.
Casey Haire: Okay, great. That’s helpful. Just for clarity what percentage of the loans do float?
Kent Lucien: So, it’s roughly 60% fixed, 40% variable and floating.
Casey Haire: Excellent, thank you
Kent Lucien: Yes.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Aaron Deer with Sandler O’Neill. Your line is open.
Aaron Deer: Hi, actually the remainder of my questions were asked and answered. Thank you.
Operator: Thank you. And our next question comes from the line of Matthew Keating with Barclays. Your line is open.
Matthew Keating: Yes, thank you. My question is also related to the net interest margin trajectory. So obviously, in 2016, you saw about 3 basis points or so of net interest margin expansion in what was arguably a fairly difficult interest rate backdrop. And while obviously, the rate backdrop remains quite variable as we look out to 2017, if you assume kind of rates stabilize at these levels, do you expect or do you think it’s possible to see more significant NIM expansion in 2017 at this juncture? And what might be a good performance in your minds around that? Thanks.
Kent Lucien: Yes. So, the fourth quarter, just using the 10-year treasury as kind of a benchmark here, the fourth quarter had us at 2.14%. You are going to see in our 10-K, the net interest income sensitivity to a 100 basis point shock. Our net interest income would rise by about 5%. So you can use that as a rough gauge on how versus where we are today. I don’t know if it’s going to be about 2.4% in the first quarter, but that should give you some guidance around what to expect for the margin.
Matthew Keating: Got it. That’s helpful. Alright, most of my other questions have been answered. So thanks very much.
Kent Lucien: Yes, thanks Matt.
Operator: Thank you. And I am showing no further questions at this time. I’d like to turn the call back to Mr. Wyrick for closing remarks.
Cindy Wyrick: Thank you. I’d like to thank all of you for joining us today and for your continued interest in the Bank of Hawaii. As always, please feel free to contact me if you have any questions or need further clarification on any of the topics discussed today. Thanks everyone. Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a wonderful day.